Operator: Good morning, and welcome to the 2022 Second Quarter Earnings Conference Call hosted by BNY Mellon. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference call and webcast will be recorded and will consist of copyrighted material. You may not record or rebroadcast these materials without BNY Mellonâs consent. I will now turn the call over to Marius Merz, BNY Mellon Head of Investor Relations. Please go ahead, sir.
Marius Merz: Thank you, operator. Good morning, everyone, and welcome to our second quarter 2022 earnings call. As always, we will reference our financial highlights presentation, which can be found on the Investor Relations page of our website at bnymellon.com. I'm joined by Todd Gibbons, our Chief Executive Officer; Robin Vince, President and CEO Elect; and Emily Portney, our Chief Financial Officer. Today, Robin will lead the call and make introductory remarks, followed by Emily, who will then take you through the earnings presentation. Following their prepared remarks, there will be a Q&A session. Before we begin, please note that our remarks include forward-looking statements and non-GAAP measures. Information about these statements and non-GAAP measures are available in the earnings press release, financial supplement and financial highlights presentation, all available on the Investor Relations page of our website. Forward-looking statements made on this call speak only as of today, July 15, 2022, and will not be updated. With that, I will turn it over to Robin.
Robin Vince: Thank you, Marius, and thank you, everyone, for joining us this morning. Before we talk about our results for the quarter, I'd like to take a moment and recognize that today is Todd's last earnings call. Todd, on behalf of all of us here at BNY Mellon, I'd like to thank you for your leadership and for your many years of service to the firm and our clients. For nearly four decades, you made a tremendous impact on BNY Mellon and its evolution from the rather traditional commercial bank that we once were, to the globally significant financial services firm, sitting at the heart of the financial ecosystem that we are today. When the Board asked you to take the helm at a very challenging time and in a worldwide pandemic, you not only navigated the firm through this unprecedented environment with a steady hand, but you also continued to drive our client and growth agenda forward. On a more personal note, I want to thank you for working so closely with me during this transition. I know it was always important to you to ensure a seamless transition before you retire, and I couldn't have had a better partner on this journey. Having spent a meaningful part of the last four months meeting and listening to our employees, clients and many other stakeholders, I'm even more optimistic about the next chapter for BNY Mellon. At the very heart of our firm lies an exceptional client franchise. Our clients truly view us as a trusted partner and a resounding message that I have heard is that our clients want to do more with us. We have a growth opportunity by making that easier for them. We have to do a better job connecting the dots, both internally and externally, and we will. And while our investments over the last couple of years have paid off in the form of the remarkably resilient platform that we have today, I'm also of the view that the efficiency opportunity available in driving our operating model transformation has more runway. I look forward to formally taking on my new role at the end of August and will continue to share my views on our strategy and plans over the coming months. Moving on to the quarter, I'll start with some broader perspectives before I run through a few financial highlights and then I'll turn it over to Emily to review our results for the quarter in more detail. During the quarter, we continued to see high levels of volatility across both global equity and fixed income markets, persistently high inflation, rapidly evolving monetary policy around the world, and all this against an increasingly complicated geopolitical landscape. You've all seen those charts. The S&P 500 had its worst first half performance in over 50 years, 10-year treasury had the worst start to the year since the beginning of the Index in the early 1970s. And with 150 basis points in rate hikes, this is the fastest tightening cycle over six months since the Volcker era at the end of the 1970s. Underneath these headlines, what we're seeing across our platforms is that investors are clearly rebalancing and de-risking. We're seeing asset reallocation from growth to value, higher than expected cash balances, and relatively shallow market liquidity, making it harder for investors to move risk. That said, in our role as a critical infrastructure provider touching so much of the core financial system, we do see today that markets continue to function in an orderly fashion, trades are settling and failed and overdrafts are at fairly normal levels. Turning to our performance in the quarter and referring to page two of our financial highlights presentation, we reported EPS of $1.03 on $4.3 billion of revenue and a return on tangible common equity of 19%. Excluding the impact of notable items, EPS was $1.15 and return on tangible common equity was 21%. Our second quarter results reflect the benefit of higher interest rates, the strength of our diversified platform, and our unwavering commitment to our clients. Those clients clearly value our resilience, the quality of our services and insights, and the trusted relationship that they have with BNY Mellon. While lower market values adversely impacted asset-based fees, elevated volatility, wider spreads, and higher transaction activity across new and existing clients hampered the impact. Asset Servicing continued to see healthy client volumes and our sales momentum and pipelines continue to be strong. Wins and mandates are up year-on-year, and that's broad-based across products and geographies, producing a strong pipeline of AUC/A to be installed over time. And our retention rates continue to be exceptionally high, north of 90%. In our ETF servicing business, total funds serviced are up 5% year-to-date, enabling ETF AUC/A to hold steady despite the impact from lower market values. And in alts, wins year-to-date have already exceeded all of 2021. It's also worth noting that more than 20% of our multiproduct deals have a data and analytics component as our DNA capabilities become more meaningful to our overall Asset Servicing deal pipeline. In our markets franchise, FX revenue was up nicely year-over-year and the business continued its steady climb in the Euromoney FX survey, landing at number eight overall this year, our highest ranking ever, up from number 13 a year ago and number 32 in 2018, while also maintaining its top three real money ranking. Issuer Services, and in particular Depository Receipts, had a solid quarter on the back of growth in dividend annuity fees and cancellation activity. In Pershing, year-over-year revenue was also up, and we're seeing encouraging signs in terms of sales momentum. We continue to gather net new assets this quarter, albeit at a slightly slower pace given the market backdrop, but the pipeline for the second half and beyond remains strong as we continue to grow the core business and see renewed client interest in digital wealth solutions as well as the advisory tools we will offer for our Pershing X initiative. In a great One BNY Mellon example, this quarter, Pershing and Asset Servicing combined their capabilities to roll out what is essentially a self-directed vehicle for a large government agency, offering choice of roughly 5,000 funds to a total addressable population of about six million eligible participants for the benefit of their retirement plans. Last month, Pershing hosted its Insight Conference with 1,600 business leaders, industry advocates and next-generation talent. This conference is a flagship event for Pershing and we were pleased to announce some next-generation tech solutions for advisors and wealth management professionals with the introduction of the latest generation of our Pershing platform and enhancements to our API suite. Turning to Clearance and Collateral Management, the business delivered another strong quarter of growth on the back of higher securities clearance volumes, where market volatility continues to drive activity levels in US treasuries. And we also saw average collateral management balances reached another record of $5.2 trillion in the quarter, driven by money market fund demand for the RRP facility. Treasury Services also delivered solid growth, driven by higher rates and higher payment volumes as well as broad-based growth across multiple products, call US dollar wire, debit card processing and immediate payments from both new and existing clients. Our Investment Management business was significantly impacted by lower market values, the unfavorable impact of the stronger US dollar and clients derisking amid an increasingly uncertain environment. Having said that, our investment performance remained strong with over 70% of our top 30 strategies by revenue in the top two quartiles on a three-year basis. Insight was ranked first by Greenwich Associates for overall quality in LDI for the 12th year in a row and was ranked first for fixed income overall quality with UK consultants. And BOLD, which is the new cash management fund share class launched to help investors make a positive direct social impact, raised another $2 billion in the quarter, bringing total AUM to over $3 billion in just four months. As most of you saw, we also announced the sale of Alcentra to Franklin Templeton at the end of May. This transaction, which is expected to close in the first quarter of 2023, builds upon our strategic relationship with Franklin Templeton as we will continue to offer Alcentraâs capabilities in BNY Mellon's sub-advised funds and in select regions via our global distribution platform. We will also provide Alcentra with ongoing Asset Servicing support. At closing, we expect that this sale will increase the firm's CET1 capital by about $0.5 billion and it will free up seed capital to help accelerate our strategy of developing new, differentiated solutions from our specialist investment firms that meet the evolving needs of our clients. And finally, Wealth management continued to execute against its three-pronged strategy: acquiring more client relationships in the ultra high net worth and family office segments, deepening banking relationships and investing in technology and driving efficiency. As we engage with our clients in this space, we continue to lead with some of the most innovative digital capabilities in the industry. For a second consecutive year, the Financial Times named BNY Mellon the Best Private Bank for Digital Wealth Planning, North America, recognizing our wealth online client portal and our proprietary goals-based planning tool advice path. And the Family Wealth Report recognized our active wealth accelerator as the best customer-facing digital platform. Turning to capital. Despite the significant headwind from rapidly rising interest rates, we remain well capitalized, with healthy capital buffers to support our clients with a strong balance sheet in this volatile market environment. The recently announced results of the Fed's 2022 stress test demonstrated once again that BNY Mellon has one of the most resilient business models and balance sheets in the industry. And our preliminary stress capital buffer, as calculated in the test, remains at Fed's 2.5% floor. And so, as expected, earlier this morning, we announced that our Board approved an increase in our quarterly cash dividend by 9% to $0.37 per share in the third quarter. Now before I turn it over to Emily, I'd be remiss not to also touch on our announcement last week that Dermot McDonogh will join us in November and become our next CFO, effective February 1, 2023. I've known Dermot for over 20 years, and I'm really looking forward to his addition to our team. And I'm also pleased for Emily, who after helping Dermot transition into the CFO role, will take on leadership of several of our key growth areas, namely Treasury Services, Credit Services and Clearance and Collateral Management, reporting directly to me. But in the meantime, I certainly like reminding Emily that she still has a few more earnings calls to go.\ And so with that, over to you, Emily.
Emily Portney: Thank you, Robin, and good morning, everyone. As I walk you through the details of our results for the quarter, all comparisons will be on a year-over-year basis unless specified otherwise. Turning on page 3. Total revenue for the second quarter of $4.3 billion grew by 7%. Fee revenue was up 4%. This increase primarily reflects the abatement of money market fee waivers as well as continued underlying momentum across security services and market and wealth services, partially offset by the unfavorable impact of a stronger US dollar and lower market values across both equity and fixed income markets. Money market fee waivers, net of distribution and servicing expense, were $66 million in the quarter, an improvement of $133 million compared to the prior quarter, driven primarily by higher average short-term interest rates. Firm-wide AUC/A of $43 trillion decreased by 4% as continued growth from new and existing clients was more than offset by the impact of lower market values and currency headwinds. AUM of $1.9 trillion decreased by 17%, reflecting lower market values and the unfavorable impact of the stronger US dollar. Investment and other revenue was $91 million, reflecting a quarter with strong trading performance as well as the benefit of a strategic equity investment gain which was partially offset by seed capital losses. And net interest revenue increased by 28%, primarily reflecting higher rates and a change in asset mix. Expenses were up 12%, including the impact of higher litigation reserves, a notable item this quarter. Excluding notable item, expenses were flat quarter-over-quarter, as expected, which translates to an increase of 8% year-over-year. The year-over-year growth includes, among other items, the impact of pulling forward our annual merit increase to the second quarter from the third quarter. Provision for credit losses was $47 million versus the provision benefit of $86 million in the second quarter of last year and they primarily reflect changes in the macroeconomic forecast. Our effective tax rate was 21.1%. The notable item increased our effective tax rate for the quarter by approximately 150 basis points. Reported EPS was $1.03, pre-tax margin was 26% and return on tangible common equity was 19%. Excluding the impact of notable item, EPS was $1.15, pre-tax margin was 28% and return on tangible common equity was 21%. Now on to capital and liquidity on Page 4. Our consolidated Tier 1 leverage ratio was 5.2%, down 10 basis points sequentially. The continued sharp rise in interest rates in the quarter resulted in an approximately $900 million after-tax unrealized loss on our available-for-sale securities portfolio. And we distributed 33% of earnings to our shareholders through approximately $280 million in common stock dividends. Our CET1 ratio was 10%, down slightly versus the prior quarter. And finally, our LCR was 111%, up 2 percentage points sequentially. Turning to our net interest revenue and balance sheet trends on Page 5, which I will talk about in sequential terms. Net interest revenue was $824 million, up 18% sequentially. This increase was driven by the impact of higher interest rates on interest-earning assets, partially offset by higher funding expense. Average deposit balances and average interest earning assets both declined by 1% sequentially. Loan balances grew by 3% sequentially, primarily driven by collateralized loans in wealth management and growth in capital call finance and trade finance. Our securities portfolio balances were down 3%. Moving on to expenses on Page 6. Expenses for the quarter were $3.1 billion on a reported basis and $3 billion, excluding the impact of higher litigation reserves. Excluding notable item, expenses were flat quarter-over-quarter, as expected, and up 8% year-on-year. This year-over-year increase reflects investments net of efficiency savings, the pull forward of our merit program as well as higher revenue-related expenses. The benefit of the stronger US dollar was largely offset by persistently higher inflation. A few additional details regarding noteworthy year-over-year expense variances: Staff expense was up 7%, driven by investments in the annual employee merit increase, which in the prior year was effective in the third quarter. Distribution and servicing expense was up 23%, reflecting higher distribution costs associated with money market fund. Business development expense was up, reflecting some normalization of travel and entertainment off a low base from last year. And lastly, the change in other expense was largely driven by the increase in the litigation reserves. Turning to Page 7 for a closer look at our business segments. Securities Services reported total revenue of $2 billion, up 12% compared to the prior year. Fee revenue increased 8% and net interest revenue was up 29%, reflecting higher interest rates, partially offset by lower deposit balances. As I discuss the performance of our Securities Services and Market and Wealth Services segment, I will focus comments on the investment services fees for each line of business, which you can find in our financial supplement. In Asset Servicing, investment services fees grew by 4%. This increase reflects lower money market fee waivers and higher client activity, partially offset by the unfavorable impact of the stronger US dollar and lower market values. Asset Servicing continued to deliver healthy organic growth from both existing and new clients and our pipeline continued to grow across client segments and with particular strength in EMEA. In Issuer Services, investment service fees were up 10% reflecting higher depository receipts revenue and lower money market fee waivers, partially offset by the impact of the previously disclosed lost business in the prior year in Corporate Trust. Next, Market and Wealth Services on Page 8. Market and Wealth Services reported total revenue of $1.3 billion, an increase of 10% compared to the prior year. Fee revenue was up 9% and net interest revenue was up 18%, reflecting higher interest rates and higher loan balances partially offset by lower deposit balances. Encouraging, investment services fees were up 9%. The positive impact of lower money market fee waivers and higher transaction activity was partially offset by the impact of lost business in the prior year, as previously disclosed. Net new asset were $16 billion in the quarter. In Treasury Services, investment services fees were up 10%, reflecting the benefit of lower money market fee waivers as well as higher payment volumes on the back of growth from both new and existing clients. And in clearance and collateral management, investment services fees were up 5%, primarily reflecting higher US clearance volumes amid elevated market volatility and continued geopolitical uncertainty, all driving strong demand for US treasury securities. Now turning to Investment and Wealth Management on Page 9. Investment and Wealth Management reported total revenue of $899 million, down 10%. Fee revenue was down 9%. Investment and other revenue was a negative $13 million, which included seed capital losses as opposed to gains in the prior year. And net interest revenue was up 32%, reflecting higher interest rates as well as higher deposit balances. As mentioned earlier, we ended the quarter with assets under management of $1.9 trillion, down 17% year-over-year. This decrease primarily reflects lower market values and the unfavorable impact of the stronger US dollar and approximately 45% of our AUM are denominated in foreign currency. As it relates to flows in the quarter, we saw $14 billion of net inflows into long-term products and $26 billion of net outflows from cash. LDI continued to be a bright spot among our active strategies with $12 billion of net inflows. And our index strategies gathered $12 billion of net inflows as well. In Investment Management, revenue was down 14%, reflecting the unfavorable impact of the stronger US dollar, lower seed capital results and lower market values, partially offset by the benefit of lower fee waivers. Further to Robin's comments on our positive investment performance, just this past weekend, Barron's recognized our Dynamic Value Fund and Income Stock Fund as two top performing active funds based on year-to-date results as well as longer-term track record. Wealth Management revenue was down 1%, as growth from higher net interest revenue resulting from higher interest rates and healthy deposit growth was offset by a decline in fee revenue resulting from lower market value. The business has continued to increase the number of clients who use our banking services, which is now at 60%, up significantly from a couple of years ago. And client assets of $264 billion were down 13% year-over-year, primarily driven by lower market values. Page 10 shows the results of the Other segment. I will close with a few comments on our outlook for the second half of the year. As we all know, the intersection of significant market volatility, rapidly evolving monetary policy from central banks around the world, continued geopolitical tension and increasing uncertainty about the macroeconomic environment has made forecasting difficult. Based on current market implied interest rates for the second half of the year, we now expect the percentage growth in net interest revenue for the full year to be in the low 20s compared to the prior year. This improved outlook continues to assume modest deposit runoff in the second half of the year. And it also assumes slightly lower deposit betas than previously expected, which has been informed by our repricing experience to date. Since we last provided you our fee revenue outlook for the year on our first quarter earnings call, both equity and fixed income market values have declined further and the US dollar has continued to strengthen significantly against most major currencies. Assuming equity and fixed income values as well as currencies stay at the level where they ended the second quarter, we would project fee revenue for the full year to be flat to slightly up year-over-year. As it relates to expenses, ex notable items for the year, we continue to manage towards a year-over-year increase in the 5% to 5.5% range. Continuously strong inflationary headwinds are expected to largely offset the favorable impact of the stronger US dollar. Revenue-related expenses are increasing, as fee waivers abate and we're onboarding our strong sales pipeline. And we continue to invest in the targeted growth and efficiency initiatives that we've highlighted before. Due to the impact of the notable item in the second quarter, we now expect our effective tax rate for the year to be closer to 19.5%. Taken together with our 16.7% tax rate in the first quarter, our expectation for a 19.5% to 20% tax rate in the second half of this year remains unchanged. And last but not least, we continue to be cautious on buybacks in this volatile environment. Although based on current projections, we expect to end the third quarter at or above our internal capital ratio target. With that, operator, can you please open the line for questions?
Operator:  Jim Mitchell from Seaport Global. Please go ahead.
Jim Mitchell: Hey good morning. Emily, that was sort of intriguing, I guess, talking about your thoughts now on betas and the deposit declines and the higher NII. So, can you kind of talk about a little bit -- unpack that a little bit more in terms of what's changed over the last few weeks? What you're seeing with -- after the latest rate hike and how you're thinking about NII from here?
Emily Portney: Sure. Good morning Jim. So, as you rightly point out, we've increased our NIR guide. We now expect NIR to grow in the low 20% range year-on-year. And really, the main things which have changed from a couple of weeks ago is that deposits haven't run off as fast as we had expected. Also, betas are coming in a bit lower than we had anticipated. And also now baked into that, our expectation is that, of course, we'll get some higher yields from cash held at central banks just given the pace of monetary policy. So, those are the main drivers that are in the outlook for the full year. And I would just obviously kind of caveat everything that there's a tremendous amount of uncertainty and it's pretty impressive at the time.
Jim Mitchell: Okay, that's helpful. And then just your comment of getting to where you want to be in the third quarter on capital if all else equal, does that mean you would be thinking about getting back into the buyback game in the fourth quarter, or is it still a little too early to be calling for that?
Emily Portney: So, what we've always said in terms of capital returns and specifically buybacks, that they would be dependent upon the trajectory for both AOCI as well as deposit levels, both of which were -- AOCI was a bit -- it deteriorated this quarter and deposits were a bit higher as I just suggested. It's still an incredibly uncertain environment. So, of course, we're going to continue to be cautious. We do expect deposit to decline. And so we are projecting that we'll be north of our internal targets, which, of course, for Tier 1 leverage is 5.5%, and we want to be north of our CET1 -- CET1 10% on a sustainable basis. And then it's about that time that we'll start to talk about and think about buyback activity. Having said that, as you all know, it's completely situational and very dependent upon the future outlook.
Jim Mitchell: All right. Fair enough. Thank you.
Operator: And our next question comes from Betsy Graseck from Morgan Stanley. Please go ahead.
Betsy Graseck: Hi, good morning.
Robin Vince: Good morning.
Betsy Graseck: Hi Robin, I had a question for you. It's been probably more than five years, maybe a decade, we've all been getting questions on the threat of technology, the threat of blockchain to your industry. And it kind of comes and goes in ways. And over the last two weeks, I just got another barrage of questions on this. So, I wanted to, as your first call here as CEO -- incoming CEO, can you give us your sense as to how you see the time frame and the speed with, which you need to be transforming the organization?
Robin Vince: Sure. So this is -- if you just step back, this is a super interesting space in our industry. And I think about it as once upon a time there was paper everywhere, we had runners, we had markets closing and we had the rise of computing and we've had traditional ledgers for the past 50 years. And now we've got a great new technology in the form of blockchain and that gives us the opportunity to do new things. And we're excited about that. We think it's going to bring great opportunity to our business. You're right, there's an element of potential disruption risk and so we've got to be ahead of that. But we also see a lot of opportunity in everything that this brings to bear. And I'll just note that the amount of interest that we have from our clients in us helping them to navigate this landscape is really remarkable. That's demand from the institutional clients around looking after cryptos, which we view as interesting but not really the main core digital assets, to building various different capabilities across the digital asset life cycle, coins, tokenized assets and we've already cemented ourselves as a leader in the space, all the work that we've been doing for some of these stable coin providers, we've been doing our traditional business with them, looking after traditional assets as part of their stable coin portfolio. But in doing so, we've really inserted ourselves into the ecosystem and that gives us a great landscape. So there's a lot to do here. My view on this is it's going to be years and potentially decades for the full effects to be known, but we're in it and we're excited about it.
Betsy Graseck: And the operating leverage as you go through this journey, how do you think about managing that?
Robin Vince: This is a super long-term journey, Betsy. I think it's very hard to have a point of view. But if I zoom out, would I at the margin, itâs probably helpful longer term, but I'm going to emphasize super longer term on that, sure, it probably should be, because I think some of the inefficiency of post-trade processes, you can squeeze more of that out with some of these new technologies. And as was the case in the handover I'm sure from paper to original computer ledges. But this is going to be a while in the making. And, of course, we are going to have to invest to get us from A to B on this thing.
Betsy Graseck: Okay. Thank you.
Robin Vince: You're welcome.
Operator: Gerard Cassidy from RBC. Please go ahead.
Gerard Cassidy: Good morning. Emily, when you look at your fee revenue, you gave us some guidance on if the markets don't change materially from where we are today by the end of the year and gave us that guidance. Can you remind us, what percentage of fee revenues would you say are tied to values with their variable rate price for your customers versus a fixed price?
Emily Portney: It really depends by line of business. But, for example, when you think about Asset Servicing, itâs about 50%.
Gerard Cassidy: Very good. And then â yeah, go ahead. Iâm sorry. Go ahead.
Emily Portney: So I was going to say, just to give a bit more color just in terms of unpacking that fee guidance because I think it's probably helpful. So when about now the year-on-year change of flat to slightly up, about 5% of that is coming from the abatement of waivers. That is more than offset, call it 5% to 6% from what I would call market factors, and that is market levels, as you just suggested. It's also currency as well as the impact of geopolitical factors. So for us, obviously, some of the impact made the loss that we took on Russia, and in Ukraine are just some CC business in that region. But then that is offset by organic growth, but still 50 odd â is expected to be between 50 basis points to 100 basis points. And really, we have very strong fundamentals across Asset Servicing, Treasury Services, CCM, and even in Pershing and Corporate Trust, which are lapping some lost business from last year, the fundamentals and the pipelines are strong.
Gerard Cassidy: Very good. And maybe for Robin, obviously, disruption is going to create opportunities for some companies over the next 6 to 12 months to make acquisitions. Can you give us your thoughts on what you think you can add if you need something to the product set that Bank of New York has?
Robin Vince: Sure. So I think about this pretty similarly to the way that Todd and Emily have described this before. It is largely for us, at least as we sit here today, Gerard, an opportunity to acquire capabilities. As you can imagine, a large and transformational sort of transaction is not very high on my list of priorities right now. I'm much more focused on the organic growth, the opportunities that we have across the franchise and also just really driving the operating effectiveness of the company. But as you saw last year, we made an acquisition in the form of optimal asset management, which set us a little bit along on our journey on Pershing X. We made an acquisition in the form of Milestone, which was helpful and accretive to our business broadly in Asset Servicing. And so we're going to continue to be on the lookout for those types of things. But as with anything in the M&A space, there's a high bar.
Gerard Cassidy: Very good. And Todd, good luck in the next run. Great job being at Bank of New York.
Todd Gibbons: All right. Thank you so much. Appreciate that.
Operator: Ken Usdin from Jefferies. Please go ahead.
Ken Usdin: Hi. Thanks. Good morning, and best of luck, again, both of you, Robin and Todd.
Todd Gibbons: Thanks, Ken.
Ken Usdin: Emily, on the deposit side, can you talk a little bit more about your slightly different expectations for beta. So I'm just wondering, can you flesh that out for us in terms of how you think that projects? And also can you help us understand the difference between how you might expect deposits in the US deposit side to act versus when we start to see the impact of the non-US deposit base move? Thank you.
Emily Portney: Sure. So what are we â there's a couple of things in there, so about deposits â so I mean about the betas in particular. So betas have been coming in a little bit better than we had anticipated, call it, 5% or 10%. Why that is? Certainly, our thinking is that, it's probably due to a couple of factors. Certainly, the sheer amount of liquidity that's in the system, the risk off behavior that you're seeing just based on the uncertainty. But also proactive management by us in terms of our deposit base and targeting operational deposits that we do want to retain, we still think that ultimately betas will retrace what we saw in the last cycle, although like I said, they're currently lagging what was actually anticipated. It's â we're seeing pretty much similar themes in both the US as well as Europe. What I would say is as the ECB gets to zero, that's probably the toughest place to be for us. And then as soon as they get negative, we expect betas to also kind of largely retrace what we saw in the last cycle. But that's basically what we're seeing and thinking.
Ken Usdin: Okay. Got it. And then any updated thoughts in terms of -- you gave us that update on where you expect deposits to be this year. But on a through-the-cycle basis, do you have any way of dimensionalizing how you think total deposits might act through this cycle versus last as well in terms of either mix shift or total? Thanks.
Emily Portney: Yes, sure. So just a couple of things. The first thing I would just say is I just would step back for just a moment and just remind folks about the central role we play in terms of liquidity across the financial ecosystem. So we manage on any given day $1.2 trillion in liquidity across our sophisticated clients. So some of that, of course, is on balance sheet as we're talking about. But there's also a significant chunk of that off balance sheet. We offer a lot of off-balance sheet options, whether it's our own money market funds, third party market funds, a repo. The reason I say all that is just that as deposits move, we will also get some benefit and see some of that moving around the system based upon where we are in what I would call each hold the fact. So we can benefit from that and see all of that as cash moves around the system. But getting very specifically into your question on deposits and deposit balances, what I would say for this year, and then I'll talk about the landing point, for this year, assuming currently implied rates are realized, we would expect deposit -- average deposit balances to probably decline another 5% to 10% from where they were in the second quarter, and that was $311 billion. Just to give you some color, in June, they were at $305 billion. And on a spot basis, they're already below that. Some of that, of course, expected because of seasonally. Likewise, just a reminder, when you think about the components of our deposit base, we would expect most of that run-off to be in NIBs. And so we'd expect NIB to revert to about, call it, 20% to 25% of our total deposit base. They're currently about 30%. And then when you just think about the entirety of the cycle, when we're fully through the cycle and just putting it in perspective, so between the fourth quarter of 2019 and the fourth quarter of 2021, deposits increased by about $100 million. About 50% of that was NIBs. They are, of course, as we've always talked about, more rate-sensitive. And we would expect also, given the change in mix of our business, Treasury Services is a much bigger business, Asset Servicing likewise is a bigger business, so we think we'll be able to retain roughly two-third of that when it's all said and done.
Ken Usdin: Great color. Thanks, Emily.
Operator: Mike Mayo, Wells Fargo. Please go ahead, sir.
Mike Mayo: Hi. Can you hear me?
Emily Portney: Yes, Mike. Good morning.
Mike Mayo: Okay. Great. Just the big picture question back to Robin. Start of the call saying customers would like to do more business with BNY Mellon and that would be by connecting the dots. And connecting the dots is a simple and powerful statement but also so extremely difficult to execute, because these dots are in different business lines, different geographies, managed by different people. So how are you able to connect the dots and really focus around the customer and so many of these businesses are in just parts of the firm? Just conceptually, how do you attack a problem like that?
Robin Vince: So yes, it's a great question, Mike. And it's one -- it's something that I'm really very enthusiastic about as a firm. One of the benefits of having spent a lot of time really talking to clients over the course of the past four months and having worked across and really spent time with employees at all levels, up and down the company, internationally, it has really been to be able to get into this particular opportunity that I highlighted that you just referenced. And I feel we've got a few things that are really going for us. So number one, we've got this real differentiated trust from our clients. And so there's a will to do more business with us. And actually, I get questions from clients that ask me that they want to do more business with us and they're not sure how to do more business with us. And so that, frankly, is a pretty differentiated situation to be in and I view that as a real advantage. Second, we have a large set of related and interconnected businesses. So it's not like we're trying to sell completely different products to people where it's a real reach. These are adjacent business lines. So it's collateral talking about margin. It's collateral talking about Treasury Services. Treasury Services for wealth clients. Foreign exchange for Treasury Services clients. It's real adjacent things. And so there's that opportunity as a result of the nature of the businesses we're in. And then third, it's actually the culture of the people. We have people here at BNY Mellon who are client first, firm second, self third. That is a very powerful cultural attribute. And I intend to mine that and the other two things. And I'll just give you one example, because I mentioned it in my prepared remarks, but I think it's a great example, which is Pershing and Asset Servicing came together over the course of the past few months to provide this new capability for this large government client that I referred to which has a significant addressable market for us. But the interesting thing, although the revenue, hopefully, will be interesting, the really interesting thing there is how they came together. And I think it is different than maybe the way it would have been a few years ago. So I'm optimistic about this and we'll keep talking to you about it. We call it ONE BNY Mellon, and I'll be pleased to give you updates along the way.
Mike Mayo: And then one follow-up on that. Just your client first, firm second, self third, how do people get paid for doing this, or how do you -- just from a 10,000-foot level, how do you think about individuals getting paid for connecting the firm the way you would like? Because to the extent that incentives ultimately drive behavior, if people get paid more for doing it, they're more likely to do it or maybe you disagree.
Robin Vince: Well, I'm not naive. So, of course, financial compensation comes into it, but on that hierarchy of client first, firm second, self third, the compensation bit, while important was, in fact, third on that list and people take a lot of pride associated with these cells and rallying around to deliver the firm for clients. And so we're going to do all of the above, leverage the pride of our institution, America's oldest bank, the fact that we have this incredible connectivity with our franchise and, of course, we'll align appropriately the rewards, both financial and non-financial to achieve those objectives.
Mike Mayo: All right. Thank you.
Robin Vince: Thank you.
Operator: Thank you.  Brennan Hawken from UBS. Please go ahead.
Brennan Hawken: Hi. Good morning. Thanks for taking my questions. I guess, I'm curious on the relationship with fee revs and expenses. It seems as though, of course, we've got a challenging market environment. So, not surprising to see the fee revenue pressure. I guess just if you could update us on the thinking around the sort of rigidity, so to speak, of the operating expenses and whether or not there's an ability to do something, given the challenging environment, to ease some of that pressure a bit. And I think you usually, Emily, guide to core expenses, so we'd back out the charge this quarter, but just to housekeeping-wise confirm that.
Emily Portney: Sure. So there's a lot in there, Brennan, and so let me take a step back. So just when you think about the 5% to 5.5% upside for the year, it's kind of very much in line with what we've been talking about since the beginning of the year. Any benefit that we are getting from currency tailwinds is being more than offset by much more persistent inflation pressure. So if you just take that out of the equation, the 5% to 5.5% up is about 2% driven by higher revenue-related expenses. Think distribution expenses associated with the abatement of money market fee waivers, think clearing fees associated with higher volumes. And also in that number is higher onboarding costs associated with the strong pipeline that we're onboarding across various different businesses. And so the remainder really relates to investment net of efficiencies, as well as, what I would call normalizing costs as we return to the office, like T&E and occupancy, et cetera. And in terms of just kind of how we think about managing the cost base and when we think about the cost base in general, it's really three main categories that we talk about here. One is the revenue-related category. The other is the structural around the bank category. It's obviously difficult -- it's a little bit more difficult to move in the near term, and then there's the change the bank or investments, the discretionary category. As Rob and myself, Todd have all talked about before, we see a lot of compelling opportunities, very -- I mean, I'd say a lot, but we've been extraordinarily targeted in those opportunities, Pershing X, future of collateral, data analytics, et cetera, and we will stay the course on those investments. You don't just stop and start them based on the macroeconomic backdrop and they are important to the future of the firm. Having said that, there are areas of course, that we are pushing on and that we can hopefully accelerate from an efficiency perspective, things like eliminating bureaucracy, automating the manual processes that still we have across the firm, optimizing our real estate and geographic footprint, better scaling our vendor usage to get more buying power, reducing unnecessary temps and consultants, all of those sorts of things, and that could be meaningful in totality.
Brennan Hawken: Okay. Thanks for all of that. And we -- just the core part of the question, this is -- you guys guide to core expenses, right?
Emily Portney: Yes. I'm sorry. Yes, it was core ex notables, correct.
Brennan Hawken: No, I know. I had a bunch of pieces. So I want to make sure you got that. Okay. No, I appreciate all of that. I guess, when we think about the pieces of the expenses that are tied to the revenue and the pipeline and everything, would that suggest then -- because the revenue trends have actually been adverse this year versus where we had started, so should we be thinking that some of those benefits that -- where you're having some expenses or bearing some expenses this year would be coming in 2023? Is that the deal, or is the idea that the revenue that's tied to the expenses is getting offset by some of the environmental headwinds that we've all seen?
Emily Portney: Well, I mean, just to remind you, I mean, the environmental headwinds, meaning market levels and currency, have been an enormous headwind. So, I mean that's the challenge very much this year. Yes, it is fair to say that some of the cost base is just the normal upfront costs that we have in this industry for onboarding clients that you will actually see the fee revenue realized over 2023, 2024 and beyond.
Brennan Hawken: Okay. Thanks for taking my questions.
Operator: Rob Wildhack from Autonomous Research. Please go ahead.
Rob Wildhack: Hey good morning. You called out a nice to be installed pipeline AUC/A. Can you just remind us how long that takes to get installed and start generating revenue? And is there any notable difference in the profitability of some of the new wins like that ETF business that you called out, any more or less profitable? Anything like that worth noting?
Emily Portney: So, there are a couple of things in that question. So, when we think about -- I mean the to be installed and how the timing of the onboarding is obviously just very dependent upon the business unit you're talking about. But generally speaking, it's about a kind of six -- anywhere from a six-month to a 12-month onboarding kind of timeframe. And in terms of the -- kind of how we think about the profitability and the fees generated from the pipeline and in terms of ETF, , et cetera, Robin, if you want to--
Robin Vince: Yes, I would say that we are very focused on the net margin contribution of new business that we're bringing on. We have a rigorous process to look at that. As you look at the overall margin of the business, I think we're a bit victim of, and that was choices at the time, a business that was onboarded that wasn't always at the appropriate margin. And so we're being very scrupulous about that as we look at the business coming in today.
Rob Wildhack: Okay. Thanks. And a quick one, Emily. Could you just quantify or did you quantify what the effect of that merit increase that was pulled into 2Q?
Emily Portney: It was about 1% when you -- just in terms of the quarter-on-quarter variance.
Rob Wildhack: Okay. Thanks a lot and congrats to you and to Todd and Robin.
Robin Vince: Thank you.
Todd Gibbons: Thanks Rob.
Robin Vince: Thanks Rob.
Operator: And our final question comes from the line of Brian Bedell with Deutsche Bank. Please go ahead.
Brian Bedell: Great. Great. Thanks very much. And I also echo my congrats and good luck for Todd and welcome Robin and also for Emily. Just a couple -- just a couple of small modeling questions for Emily and then a strategic revenue growth question for Robin. So, just with Emily, just checking if your net interest revenue assumptions are using just the forward curve globally for Central Bank's hikes? And also if you can size the strategic investment equity gain in the quarter. And then also on the Issuer Services, that $300 million was really strong, is that a reasonable run rate into the second half?
Emily Portney: Okay. Got three questions there. So, first, in terms of deposits, yes, we use the forward curve for all major countries and regions. So it is global. Two, what was your two, sorry?
Brian Bedell: Just the strategic investment gain that you called out, the size ofâ¦?
Emily Portney: Yes. We're not disclosing that specifically, but it did -- it was part of the reason and a driver why investment and other income was $90 million. But we've also given you the normal run rate for that line. So you can think about what that would, therefore, mean. But it is also worth saying that there were some seed capital losses net of hedges in that line this quarter that did not exist in the -- actually, that were a gain in the second quarter of last year, so all of that is playing through the investment and other income line. And then your last question was?
Brian Bedell: The Issuer Services was really good this quarter, didnât know if thatâs a good run rate?
Emily Portney: Yeah. No, of course. So in Issuer Services, ultimately, we had a better performance in DRs than we had originally anticipated and just strong dividend activity. Some of that is seasonal that you normally just see first quarter to second quarter. So that's really the driver.
Brian Bedell: Okay, great. And then Robin, if I could just finish on Pershing X, it sounds like you are making traction there. I know that's still like a two-plus year type of materiality at least at the last earnings call. So I don't know if you want to update us on whether you think that might actually happen sooner. And then just on the organic growth, which is looking like 50 to 100 basis points like you said for this year, just with all of these initiatives, do you have -- do you envision of where that organic growth rate could maybe go in the next couple of years? It sounds like there's a lot of exciting growth initiatives and business opportunities given how you've characterized it?
Robin Vince: Sure. So let me start, Brian, with Pershing X. And so we're very pleased with the progress that we've made. Initially onboarded in the second half of last year, as you know, it just crossed the nine-month mark. We've rounded out the management team. We acquired Optimal Asset Management. We actually integrated our Albridge business into Pershing X as well, which has been quite helpful because it's quickly augmented the number of engineers, an extra 150 engineers into the mix. And so we've had hands on keyboards writing code for the past three months on that. We feel we're very much on track. And we're expecting to launch a very early minimum viable product with a very small select group of clients by the end of the year on the business, which will be helpful. And we've been taking a lot of client advice along the way and have had a lot of client engagement, which is helpful not only to make sure that we're building exactly what clients want, which, as you know, is the origin of the product, but also, of course, helps us with the early presale of the whole conversation. So we're excited about the direction of travel. I'll reiterate my prior point on the revenue though, which is we don't expect to have a meaningful drop to the bottom line on this thing, I said at the time, for a couple of years. That was a quarter ago. So we're still on that same track, notwithstanding, the fact that we're going to be starting testing the MVP at the end of the year. And it's a multiyear endeavor for us and we remain excited about it. In terms of organic growth, more broadly, I will say that that comes in a couple of different forms. Of course, we've got the interesting initiatives like Pershing X, like our investment in RTP. We've also got it in the form of the margin walk that we've walked you through before in Asset Servicing, which includes top line activity as well as the bottom line as we do all of that. But â so we've got all of those initiatives, those contribute to organic growth. But we also think that, to my conversation earlier on about One BNY Mellon, that there is blocking and tackling which isn't necessarily glamorous, but it's important under the hood to make sure that we really are introducing all of our clients' store of the products and capabilities and platforms of BNY Mellon. And I'm excited that that's going to contribute growth as well over time. Not in a position to give you a number today, but I think it will be part of the equation.
Brian Bedell: Great. That's great color. Thank you.
Robin Vince: Thank you.
Todd Gibbons: Thanks, Brian.
Operator: And with that, that does conclude our question-and-answer session for today. I would now like to hand the call back over to Robin with any additional or closing remarks.
Robin Vince: Well, thank you very much, operator. And thank you, everyone, for your interest in BNY Mellon. I know it's a very crowded morning today, so we appreciate you dialing in. If you have any follow-up questions, please do reach out to Marius and the IR team. But let me just say be well and enjoy your summer as we finish up. Thank you.
Operator: Thank you. This does conclude today's conference and webcast. A replay of this conference call and webcast will be available on the BNY Mellon Investor Relations website at 2:00 PM Eastern Standard time today. Have a great day.